Operator: Welcome to the Methanex Corporation Q3 2022 Earnings Call. I would now like to turn the conference call over to Ms. Sarah Herriott. Please go ahead.
Sarah Herriott: Good morning everyone. Welcome to our third quarter 2022 results conference call. Our 2022 third quarter news release, management's discussion and analysis, and financial statements can be accessed from the Reports tab of the Investor Relations page on our website at methanex.com. I would like to remind our listeners that our comments and answers to your questions today may contain forward-looking information. This information, by its nature, is subject to risks and uncertainties that may cause the stated outcome to differ materially from the actual outcome. Certain material factors or assumptions were applied in drawing the conclusions or making the forecast or projections, which are included in the forward-looking information. Please refer to our second quarter 2022 MD&A and our 2021 annual report for more information. I would also like to caution our listeners that any projections provided today regarding Methanex's future financial performance are effective as of today's date. It is our policy not to comment on or update this guidance between quarters. For clarification, any references to revenue, average realized price, EBITDA, adjusted EBITDA, cash flow, adjusted income, or adjusted earnings per share made in today's remarks reflects our 63.1% economic interest in the Atlas facility, our 50% economic interest in the Egypt facility, and our 60% economic interest in Waterfront Shipping. In addition, we report our adjusted EBITDA and adjusted net income to exclude the mark-to-market impact on share-based compensation and the impact of certain items associated with specific identified events. These items are non-GAAP measures and ratios that do not have any standardized meaning prescribed by GAAP and therefore, unlikely to be comparable to similar measures presented by other companies. We report these non-GAAP measures in this way because we believe they are a better measure of underlying operating performance and we encourage analysts covering the company to report their estimates in this matter. I would now like to turn the call over to Methanex’s President and CEO, Mr. John Floren for his comments and a question-and-answer period.
John Floren: Good morning. I hope that everyone is continuing to stay safe and healthy. This morning, we have Rich Sumner on the call who will become our new President and CEO on January 1st, 2023. It has been a privilege to serve as Methanex, President and CEO for the past 10 years. I look forward to seeing Rich continue to extend our global market leadership position, as well as continuing to lead our strong performance and safety and operations as he assumes the CEO role. On the call today, we'll review our third quarter 2022 financial results, provide an overview of the methanol markets, discuss our operational results, and share our near-term outlook. Then we'll open up the call for questions. Our average realized price of $377 per time generated adjusted EBITDA of $192 million and adjusted net income of $49 million or $0.69 per share. Adjusted EBITDA was lower in the third quarter compared to the second doing it due to a lower average realized price, lower sales of Methanex-produced methanol because of planned turnarounds and some unplanned outages, and higher spot gas costs in North America that impacted EBITDA by approximately $10 million. This was partially offset by redirecting and selling our contracted natural gas in Egypt. Global methanol demand in the third quarter was flattened compared to the second quarter of 2022. Demand from the traditional chemical applications was down slightly with acetic acid mining restarts in North America being offset by other planned outages and logistics constraints across various downstream sectors, as well as a slowdown in demand growth, primarily in Europe and China. Demand for methanol to olefins or MTO remain stable with the startup of the new Bohai chemical MTO plant, which can consume up to 1.8 million tons of methanol ramping up to 70% in the third quarter. This offset lower operating rates from existing plants in July and August, as MTO affordability came under pressure. Demand from energy-related applications increased in the third quarter as easing COVID-19 restrictions in China led to an increase in demand for MTBD [ph] and other fuel applications. Industry operating rates decreased in the third quarter because of extended turnarounds as well as planned and unplanned outages globally. We estimate the industry cost curve based on the marginal coal producer costs in China to be approximately $350 per ton. Our November posted, prices remained healthy. North American prices remained flat at $585 per ton, Asia-Pacific and China prices remained flat at $410 a ton, and $395 per ton, respectively. Our European contract price is set quarterly and we decreased our fourth quarter 2022 price by €45 per ton to €510 per ton. Less volatile spot prices in the third quarter, primarily in China, led to a largest discount rate of 21.5% compared to the second quarter. We're currently seeing demand similar in the third quarter -- similar to the third quarter. We recognized there's potential downside risk and demand due to the energy crisis in Europe, extended COVID-19 lock downs in China, global inflationary pressures, and rising interest rates impact on consumer sentiment and demand. High global energy prices enhanced methanol's cost competitiveness against alternative fuels, which could lead to increased methanol demand. Demand from the shipping industry continues to grow and based on existing dual fuel ships and orders today, we expect potential demand to increase from approximately 300,000 tons today to 2 million tons of demand over the next few years. Our production levels were lower in the third quarter compared to the second quarter due to two planned turnarounds, some unplanned outages, and a redirection of sale of our contracted gas in Egypt, which I will discuss after an update on the rest of our sites. Medicine has had had lower production in the third quarter due to an unplanned outage in July caused by storm damage impacting the plants power supply. Geismar had lower production in the third quarter due an unplanned outage and developed in July, which we extended due to elevated gas prices at the time. Also at the end of September, the utility supplier for the Geismar site experienced an extended loss of power and due to a failed transformer, which lasted until mid-October. The team took this opportunity to advance some critical Geismar 3 we are forecasting a natural gas price of approximately $580 MMBtu for the fourth quarter for the 35% spot portion of natural gas purchases that are not contracted. In Chile, production was lower in the third quarter, although higher than the third quarter of 2021. As only Chile one was operating due to limited gas availability from Argentina. We typically experienced lower gas deliveries in the southern hemisphere winter months impacting our second and third quarters. Chile restarted in October with gas deliveries from Argentina that we expect will allow us to operate both plants through the first quarter of 2023. We estimate the 2022 production to be approximately 907 -- 0.9 million tons. In New Zealand, we completed a successful turnaround at Motunui 1, which we started in mid-September. Motunui 2 operated throughout the third quarter but at lower levels due to gas availability restrictions from non-gas fuel. We expect both plans to be operating at full rate sometime in the fourth quarter. Based on the production today and our outlook for natural gas in New Zealand, we estimate that 2022 production to be between 1.2 million and 1.3 million tons. We had low levels of production from Egypt in the third quarter as we completed an extended plan turnaround. The timing of the turnaround enabled us to enter into an agreement to redirect and sell the plants contracted natural gas from late July to late October. This was a unique opportunity to utilize excess LNG capacity in Egypt during a period of elevated LNG prices in Europe and was done in collaboration with our Egyptian government partners. We estimate that the sale and redirection of our gas resulted in an incremental benefit to the third quarter of approximately $35 million compared to using this gas for production of methanol for the period of time was not scheduled to be under turnaround. The plant is in the process of restarting. We ended the third quarter in strong financial position with approximately $890 million of cash excluding non-controlling interest and including our share of cash in the [Indiscernible] joint venture and we have $600 million of undrawn backup liquidity. We remain committed to our disciplined approach to capital allocation. We continue to focus on maintaining our business pursuing economic value added growth opportunities that exceed our cost of capital by three percentage points and returning excess cash to shareholders. Construction of our Advantage G3 project is progressing safely and is scheduled to be completed in the fourth quarter next year. We have spent approximately $810 million before capitalized interest to the end of the third quarter and expect approximately $450 million to $500 million remaining capital cost before capitalized interest, which is fully funded with cash on hand. Our asset portfolio and cash flow generating capability will be significantly enhanced when G3 comes online next year. With our G3 projects being fully funded, our strong cash position and our ability to generate meaningful cash flow across a wide range of methanol prices. We are well-positioned during this period of economic uncertainty to continue returning cash to shareholders through a sustainable growing dividend and share buybacks including our 5% share buyback announced in mid-September. Production in the fourth quarter is expected to be approximately 1.6 million tons, much higher than the third quarter. We anticipate to built in produced inventory through the quarter as the methanol sold in the quarter will be more weighted to purchase product as a result of our FIFO inventory flows. Based on our posted prices in October and November and higher expected produce sales, we expect higher adjusted EBITDA in the fourth quarter compared to the third quarter if the one-time benefit of the Egypt natural gas sale of $35 million is removed. In the medium term, the methanol market outlook is positive and we are growing cash flow generation capability with G3 coming online in the fourth quarter next year. At $375 per metric ton methanol price and $4 MMBtu gas, we expect G3 to generate approximately $250 million of EBITDA per year. We have a strong balance sheet and committed to deliver on our capital allocation commitments of returning excess cash to shareholders. Looking forward, our geographic diversity advantage feedstock cost position with 85% of natural gas needs in North America hedged next year in our unique global supply chain will continue to allow us to be the methanol supplier of choice and deliver value to shareholders. We will now be happy to answer questions.
Operator: [Operator Instructions] Our first question is from Joel Jackson with BMO Capital Markets. Your line is open.
Joel Jackson: Hi, good morning, John.
John Floren: Hey Joel.
Joel Jackson: We're running out a call like this. I don't think you said on -- I don't think you give a production volume kind of forecasts for Q4. Could you tell us what you think Q4 might look like versus Q3? And then also a second part of that question be should we expect the gas resale benefits in Egypt to be on a monthly basis, like a lot lower than the kind of the 70.5 million per month rate you got in Q3 in August and September? Because obviously gas prices come down?
John Floren: Yes, so the age that we realized all the benefits in Q3. So, that was all realized in Q3. So, that $35 million is all a benefit of redirecting that gas for LNG and obviously sharing with the government, et cetera. So, it's based on selling prices through the three-month period. As far as production, yes, it's 1.6 million times for Q4 is our forecasted production.
Joel Jackson: So, my next question is a fun one. Are you ready? Okay, so John, [Indiscernible], thanks for a long time. But, over the last decade or so as CEO, what would you say is sort of the thing that you're most proud about? And what are the ones that you'd say -- maybe the one that got away the opportunity or something that got away?
John Floren: Yes, I would say our safety record is the thing I'm most proud about and our internal succession process and developing people. Those would be the two things I'm most proud about. One thing -- many things got away. I think we had a lot of volatility during, during the time in the last 10 years and I think we came out of a stronger company, as a result of the teamwork. So, I don't want to go through all the things that got away, but certainly lots of noise during the last 10 years.
Joel Jackson: Okay, thank you.
John Floren: Thanks Joel.
Operator: The next question is from Ben Isaacson with Scotiabank. Your line is open.
Ben Isaacson: Thank you very much and good morning, everyone. In other petrochemical chains, we've seen volume down 10%, 15% in Europe, similar in China, generally hanging in in the rest of Asia and North America, is -- now you did say that Q3 volume was flat, versus Q2 and right now what you're seeing is that it's flat and you also highlighted the risks in Europe and China already. But when you say that it's flat right now, does that mean it's stronger in some regions and it's weaker in other regions? So, is -- what you're seeing consistent with what we're seeing in other chemical change? And if not, maybe can you just talk about real-time demand on a regional basis?
John Floren: Yes, I'll ask Rich to answer that question.
Rich Sumner: Yes. Morning Ben. Yes, so you're right to say that it's not the same across all regions. So, in the third quarter, we saw stronger demand for transition has made on the traditional side stronger demand in North America, part of that was return of operating rates for acetic acid producers. But we are seeing held still healthy demand in North America. Things are pulling fairly strong there. And we actually do think that there is some impact of lower operating rates in Europe that may be shifting some industrial production into North America. In Europe, we are seeing traditional demand down and so that in that region, there's a bit of a some offset there. We're continuing to track China, or traditional demand growth, we would say that that's been relatively flat. And there is some pressure obviously with zero COVID lockdowns and the house and also a slowdown in housing there. So, we're watching those things closely. But we haven't seen a significant pullback in demand in any region. Europe is the one that we have seen some modest pullback. So, we're continuing to watch all of it across all applications. We have had some offset obviously, with higher stronger demand in other energy applications in China. And Q2 was a period where COVID lockdowns were quite restrictive and Q3 some of that eased off which meant there was better demand for transportation fuels as well as other thermal applications. And we would see that continuing with higher energy pricing as well as some if COVID lockdowns continued to ease. So, we're watching all markets right now and things are still probably trending at Q3 levels.
John Floren: Yes, and I just add the [Indiscernible], we've added a new plant in Bohai. So, that's new demand. That's 1.7 and four rates. So, we watch the other customers, what they're reporting as well, we're just not seeing that in our business yet. But we're certainly cautious about what could be coming. Thank you.
Ben Isaacson: Thank you. And then just a quick follow-up. You mentioned, John, that I think you said both plants in New Zealand will be up and running sometime in Q4. Does that mean that this Maui gas field issue is now behind us? And as we look into 2023 in the absence of any turnarounds, we should be kind of back to normal production in New Zealand, all else equal?
John Floren: Yes, both plants are running now, Ben. I think my remark was the full rates in the quarter. So, that's our expectation. So, we expect to be running both plants at full rates next year, provided there's not any further disruptions in the gas supply. That's what our gas suppliers have told us and that's what we're expecting.
Ben Isaacson: Great. Thank you very much.
Operator: The next question is from Nelson Ng with RBC Capital Markets. Your line is open.
Nelson Ng: Great, thanks. And congrats, John, on your upcoming retirement and congrats to you Rich on your new role. So, first question is, it sounds like Egypt was a special situation where you were able to use access LNG capacity to divert gas. But can you talk about whether there's any other opportunities to resell gas or divert gas because I remember in New Zealand, recently, you agreed to reduce production to allocate more gas to power plants. So, I'm -- can you just give us a bit of color on whether there's other opportunities other regions to divert gas?
John Floren: Yes, we're in the business of producing methanol and selling methanol. I think the Egypt opportunity was unique because we had a plan turned around at the same time and which only happens every four years and the conditions were that there was excess LNG capacity and a high price in Europe. So, I mean, but those were very are unique conditions, where those conditions happen at some point in the future, haven't happened in the last 30 years? So, who knows, but certainly we're in the business of producing and selling methanol.
Nelson Ng: Okay, got it. And then you talked about G3 and your expectation of, I think, $250 million of EBITDA per year. Is that assuming that it's operating close to 90% to 100% utilization? And then on the back of that, can you give us an update on your hedging position in North America?
John Floren: Yes, so our hedging position hasn't changed to during the quarter, we haven't added any, any hedges. So, it remains on change. And yes, we plan to run G3 at full rates.
Nelson Ng: Okay, thanks. I'll leave it there.
John Floren: Thanks.
Operator: The next question is from Steve Hansen with Raymond James. Your line is open.
Steve Hansen: Yes, good morning, guys. I'll just echo the congratulations comments earlier to both you. Question to start is just around regional contract spreads. I know we've been in a position like we have for some time now. But it's want to ask about the refill spreads being extremely wide relative to history here, particularly in the Atlantic Basin, is that is that a situation that you expect to carry through 2023? And perhaps beyond just given the market dynamics you're seeing? Or how would you think about that spread going forward?
John Floren: I'll ask Rich our answer to that one.
Rich Sumner: Hi Steve. It's certainly has been a dynamic. We've seen -- we're in contracts season now, it's just starting. So, it's hard to hard to give you guidance on that. The Atlantic -- obviously, the Atlantic is where we've seen that spreads -- and that's been on the back of a new capacity that's been added over time. We haven't seen any new capacity or, or -- in our outlook, any new capacity other than G3. So, we're going to have to watch and see what happens. But we'll obviously go through that and we'll give guidance on where we see discount levels going forward.
John Floren: I think as well, I mean, we look at realized process was important. And I think the latter base is still our best realized price for throughout our company. So, yes, spreads are certainly something people watch when we look at realized price. So, 377 is, if I could take that for the next 10 years, or Rich could take that for the next 10 years? I'm sure you can--
Steve Hansen: No, fair enough. That's helpful. And maybe it's a related question then, because you've introduced this new China contract that sort of breaks apart the traditional Asia-China combined contract, and maybe just Could you speak to the benefit that you've seen from that, and whether it's been effective from what you originally planned? Thanks.
Rich Sumner: Yes, I think the probably the biggest benefit is that just the Asia-Pacific region as a is -- as a whole is quite -- there's a lot of unique elements to it. So having the China market separate from the Asian market, those, those markets don't move the same way. And we're able to stay competitive with our customers in those markets, and in a lot more timely fashion. So, I think it's working well with our customers in those regions and helping us stay competitive on a monthly basis to those markets. So, yes, it's working the way we would have hoped.
John Floren: Yes, I think when we put a BCP in 10 years ago, the radium [ph] product wasn't only destined for China. And I think that dynamic has really changed the Chinese import market. So, the traditional freight differential from China to the other parts of Asia, changed as a result. So, having the two prices, I think, allows us to stay more in tune with the different markets in Asia.
Steve Hansen: Appreciate that. Thanks.
Operator: The next question is from Josh Spector with UBS. Your line is open.
Josh Spector: Yes. Hey, thanks for taking my question. So, just to follow-up on the Egypt gas sale and understand it's not because you don't want that to be your normal mode of operation. But assuming Europe prices for gas go up again, was this a unique kind of discussion with the government to make this happen? And you'd characterize it as more of one-off? Or if that are opened up, is that something you could quickly switch to if it was advantageous for you to do that?
John Floren: Well, we own 50% of that plant, we operate. We have a partner there and that's mainly the government. So, any ideas we talk about with our partners and look at them, I'd say, this is a unique opportunity for us because we are in a plan turnaround anyways, and we won't have another plan turnaround for probably three, four years. So, that the dynamics would be different, if we're operating fully versus a plan turnaround. So I don't like to predict the future. I'm not very good at it. But certainly, this was very unique and hasn't happened in our 30-year history. Yes, we did do something in New Zealand, but that was more of a need for the country, needing the gas for electricity. So it was very different circumstances than what happened here in Egypt.
Josh Spector: Okay. Thanks. That's helpful. And just a follow-up on the methanol for fuel demand in the marine market. I mean, you talk about the 2 million tonnes of potential demand to be added. curious if you could provide any color like within that calculation are you assuming a mix of fuel and those dual fuel engines similar to what it's at today, which is kind of a low level of methanol? Are you assuming that's all methanol? Just curious depending on how that shakes out today versus how you're seeing that maybe shift over the next couple of years?
John Floren : So the 2 million number that we've provided is demand potential that assumes all those vessels run on methanol 100% of the time. What fuel will be the choice will be dependent on each of the shipping companies and what they're operating? At a time, we think certainly that the shipping companies are choosing methanol, because of, one, its clean burning attributes, as well as its future pathway to low carbon. So we think that methanol has been the choice they've made, because of that, and they’re looking and seeking the economics of methanol as well as it's our ability to decarbonize over time. So all of that will have to play out. We think that that 2 million tonnes is what's on order today. And there's a lot of other discussions that are going on which we would expect to see that order book continuing to increase over time.
Rich Sumner: And regulations will continue -- regulations will continue to get tighter and tighter, and maybe some of the alternatives today won't be alternatives in the future. So it's really, if all the chips that are on order, or are on the water today were to run 100% on methanol, it would be 2 million in demand.
Josh Spector: Got it. Very helpful. Thank you.
Operator: The next question is from Jacob Bout with CIBC. Your line is open.
Jacob Bout: Good morning.
John Floren : Hi, Jacob.
Jacob Bout: Wanted to talk to about methanol demand and increasing concern about a recession here going into 2023. Maybe just walk us through how you're thinking about methanol demand, and either kind of a moderate or severe recession scenario. And what could be different this time than what we've seen historically?
John Floren : So I think when you break out the demand in the industry, you were kind of somewhere between 85 million tonnes and 90 million tonnes, around 45 million of that is in the traditional demand segment, that would be the segment we'd be monitoring very closely in terms of any recessionary impact. Right now, we would a forecast at the beginning of this year, a 3% to 4% demand growth and for those derivatives, and we're seeing that trend flat today, as we talked about for the third quarter. So we're going to -- we'll be watching that 45 million tonnes of demand, and really looking at what impact that will have across the different jurisdictions. So knowing exactly or predicting exactly what the impact will be -- it tends to follow GDP. So however, we would forecast GDP growth will tend to be how that segment is driven. I think the other thing that we're seeing though, is we're seeing potential recessionary impacts in a high energy price environment and that tends to be a driver for demand growth for methanol. So how those two things interplay will ultimately determine demand. So we think that the higher energy price environment certainly is a positive for supporting demand growth.
Jacob Bout: And are you more or less concerned about China this time around?
John Floren : We're watching China really closely. I think there's zero COVID has had an impact certainly on demand. What happens post the national progress in and around policies there will ultimately determine how that's going to impact us. So we're watching the China market very closely right now.
Rich Sumner : Yes. We're probably most concerned about the MTO. So I mean, that's always been our biggest concern, but the operating rates, although. they're a little bit lower, there's still quite healthy. So, again, that's something our team watches on a very regular basis.
Jacob Bout: I’ll leave it there, and good luck to you, John.
John Floren : Thanks, Jacob.
Operator: Thanks. The next question is from Hassan Ahmed with Alembic Global. Your line is open
Hassan Ahmed : Good morning, John, and congratulations.
John Floren : Thanks, Hassan.
Hassan Ahmed: John, a question around demand, just revisiting something you said earlier. I mean, obviously, sequentially, you guys talked about demand being flat, obviously, a bit different from other commodities, which has seen a fair bit of destocking, in some cases 10%, 15%, 20%. Can you chat a bit about inventory levels, where they are right now, as more of these recession fears sort of spreads through the market? Is there a genuine concern around maybe heightened degrees of destocking?
Rich Sumner : Hi, Hassan. This is Rich. Look -- so I -- in terms of inventory levels, we saw a flat demand during the quarter, but we saw quite a -- we did see industry operating rates pullback in the quarter by about 2% to 3%. So overall, we saw actually a draw on inventories through the quarter that -- those production outages were mainly in an Iran where we saw outages across a number of plants. There were outages in North America, the European refinery units are operating at low rates. There were other issues, including our own turnarounds in Egypt and New Zealand. So industry operating rates were actually when we balance out demand and production, we saw a draw during the during the quarter, that was most pronounced in the import markets into China, where we see actually quite low inventory levels today. So and that obviously led to some strengthening and pricing in the China market during the quarter. So we're seeing tight -- balance to tight inventory levels everywhere today.
John Floren : I think the dynamic, Hassan, is that as we get into Q4 and Q1, that -- those are traditionally the low end for the production because of gas diversion for heating and electricity in places like Iran, got the higher gas prices in North America impacted, the supply in Q3. Obviously, prices of gas now have come down to around five, six, which is somewhat a little bit more affordable. If you're not edge they're fixed like we are, so. And then you got the high cost curve in China, right? That's the coal price. They're setting a very high cost curve. So yes, even if demand was to go down somewhat, I think there's -- the supply issues are going to be probably more impacting what the ultimate price of methanol is going to be versus somewhat of a drop in demand.
Hassan Ahmed: Very helpful. And as a follow-up, I noticed that sequentially, logistics costs were up around $12 million. Now looking at sort of shipping rates coming down, coming down pretty hard. Should that be a nice tailwind for you guys, as we think about Q4 and beyond.
John Floren : This is one of our key competitive advantages are integrated logistics and yes, we paid more for fuel in -- when fuel was quite high. It's come down a little bit and we're running methanol wherever we can on our ships as well. But the tanker market if you look at what happened in the dry cargo market, a few years ago, the tanker market didn't have the same reaction, it kept to be quite low. With what's happened in Russia and the supply chains and shipping days becoming much longer. The tanker market has gone up quite significantly. So the rates of the tanker market if you're not integrated like we are, and you're buying spot, you're paying double and sometimes more versus this time last year. And I'll remind you about 35% of what we carry is on a backhaul basis. So the rates we're getting for that would be quite a bit higher this year versus last year. So I think our supply chain and our own shipping and integrated Logistics is a key competitive advantage not only to deliver product on time and the quality our customers want. But now that the shipping market looks to be in the tanker market, quite strong, going forward and with the further restrictions now, in Europe where Russian methanol and other petroleum products will not be allowed to be exported into Europe. Those supply chains are the longer and literally, we believe to a tight tanker market for most of next year.
Hassan Ahmed: Very helpful. Thank you so much.
Operator: The next question is from Matthew Blair with TPH. Your line is open.
Matthew Blair: Hey, good morning. Could you talk about MTO economics currently? Is it fair to say that they're a little bit better than in Q3 levels? And what are your expectations for MTO operates in Q4 into 2023?
John Floren: Yes. So MTO affordability, when we look at it on a strat ethylene propylene basis is around $280 today, thereabouts, it's below $300. What we've seen is a bit of a disassociation between -- that's in a high oil price environment, traditionally would see higher oil MTO affordability. So there's been a little bit of disassociation from oil because of what's happening in their downstream, some weaker demand into olefins market, combined with ample supply. So that's something we're monitoring very closely. There's other factors that are at play for true economic operating decisions for the MTO units. You have to look further downstream into what they're producing downstream as well as the synergies that a lot of these units have with their other parts of their facilities. So it's not a straight mathematical number that you can rely on in terms of their knowing their operating decisions. Today, we know that there's a few plants that aren't operating today, and that's been offset, as John said, with the start-up of the 1.8 million tonnes in North China. So as of today, we'd say operating rates for MTO are around just under 80% operating rates. So there's latent demand there hard for them to start up when inventories in China are really tight today. And at current pricing in China at $330 a tonne, we're going to watch and see what operating rates to expect, but we would probably hold operating rates at levels at around 80% today and then watch the decisions that will be made.
Matthew Blair: Great. Thanks for all the color. You also mentioned that your ships are running on methanol whenever possible. What's the economic benefit there? What's the spread between methanol and like a low sulfur fuel oil or low sulfur diesel?
John Floren: Yes, so earlier in the year when oil pricing was well above $100 a barrel, we saw methanol on an energy equivalent basis being quite a bit more affordable than the other alternatives of marine gas oil or ultra-low sulfur diesel oil, or is probably a discount on an energy equivalent basis about 20% to 30%. We've seen those prices come down recently to where it's actually more on a fairly neutral level of pricing. So still look looks attractive to be burning methanol against the alternatives.
Matthew Blair: Great. Thank you.
Operator: [Operator Instructions] Our next question is from Chris Shaw with Monness Crespi. Your line is open.
Chris Shaw: Yes. Hi, good morning, everyone. How are you doing?
John Floren: Hey, Chris.
Chris Shaw: I have a longer-term question around natural gas availability, both for, say, your current operating plans and any, I guess, potential future plans or expansion. Given what's happened with the Russian gas and protracted conflict in Ukraine. Europe is bringing in a lot more LNG and look like you're trying to expand their capacity to do so in store. Do you see any shifts in like supplies where you are now, again, or other places, maybe producers of natural gas looking to liquefy more and send it to Europe in the future? I mean -- or is this actually something that's spurring probably more development and you'll actually have better supplies? Like how do you see that, I don't know, 4 or 5, 10 years down the line? How does this all play out?
John Floren: I guess it depends on what your LNG price forecast is. I mean, certainly, if it's $30, $40, if that's your forecast, then it makes more sense to use gas to make LNG than making methanol. And unless you have a view of methanol price being $800 a tonne, then – that I don't think there'll be many new methanol plants being built. And if you – if your alternative is $30 to $40, LNG. So, I don't know what the future is going to hold for gas prices on LNG, but usually economics prevail, and it's a price that gets you a return on your capital employed above your cost of capital that people make investment decisions on. And certainly there's an abundance of gas around the world. It's unfortunately today, because of what's happened in Europe. It's not in the right place. And that's leading to dislocations on pricing. But, I think when we look at the forward curves on gas in North America, it's still in the $4 to $5 range. So you're still lot of gas in North America that can be developed and very economically, that's $4 to $5 range. So assuming past capital allocation and capital that citizens are in the future, you would expect producers of gas to be investing in production, if the demand isn't there. And those kinds of prices, that's usually how commodities work and I don't see anything that I've seen that changes that because of a short term dislocation because of a war in Europe.
Chris Shaw: And then, I guess North America is your only market then that has the excess gas to liquefy and sent to the – to Europe arriving in New Zealand, Chile, Argentina, all those places. That'd be if they had that much, that'd be probably a good problem to have, right? 
John Floren: Yes, I don't think there's enough gas in Chile or Argentina today. I mean, maybe at some time is in the future, as the Neuquén gets developed, they'll develop an export LNG market, but that's sometime in the future as they continue to develop the Neuquén basin, New Zealand, certainly not enough gas, to think about an LNG plant. We have, obviously, Trinidad has LNG production and so does Egypt, but Egypt's gas outlook is only getting more and more favorable as it wanting to become a regional hub for Cypress and Israel gas plus their additional gas that they're developing. So if all those regions, I would probably expect Egypt to be the most likely to develop more LNG capacity at some point in the future.
Chris Shaw: Great. That's helpful. Thank you.
Operator: Our last question is from Steve Hansen with Raymond James. Your line is open.
Steve Hansen: Yes. Thanks. Just one quick follow-up. If we think forward here, 12 or 15 months, G3 is up and running full, which would be a great outcome. How are you going to fill about capital allocation at that time? It might be too early to ask but if we think about the backdrop of very little incremental capacity being built over the next couple of years, arguably, the market will start to need it. But then at the same time, you're going to have to play this out with your idea around returning cash to shareholders. So I know, you've got a strong focus on a balanced approach. But when a lot of that cash flow is flowing, I mean, are you going to be keen on adding the capacity again? Or are you going to be more tilted towards the returning cash side? Thanks.
John Floren: Yes, it's a great question. I'm glad you asked it. Yes, you're right to point out at any methanol price around where we are today or even much lower. We're going to generate a lot of cash as G3 comes up. We don't have any significant projects in the pipe today. I mean, G3 is going to certainly satisfy our demand aspiration or supply aspiration growth, and we'll focus on getting Titan and Waitara Valley back up and running, if we're able to secure additional gas, which will take some time. So I think we'll have lots of cash to distribute, whether we invest a little bit in green methanol or other projects like that to be determined. But think that's somewhere post G3, one or two years at least. So we do want to grow in line with the market. Most of the questions today have been about demand, and we've seen very little demand growth overall since COVID-19. So it's really since 2020, we've seen basically very, very little demand growth. So, we don't need to grow if we want to maintain our market share, and G3 is going to more than satisfy our growth aspirations. So, assuming it will come up and it will run well, we're convinced of that. We've got a great commissioning team, has been a great project, a great executed project, there's nothing that leads us to believe it's not going to commission well and run well. And we'll take the excess cash beyond the maintenance capital and the dividend we have and buy back shares. That's our plan.
Steve Hansen: Okay, great color. Thanks John. Appreciate it. 
John Floren: I'll add one thing that we do plan to retire the debt that's coming due as well. $300 million. So, retiring the debt and buying back shares.
Operator: No further questions. At this time, I'll turn it over to John Floren for any closing remarks.
John Floren: Yes, thank you for your questions and interest in our company. Before we close the call, I want to emphasize we produce essential chemical building block was used in hundreds of consumer and industrial products. Methanol is also a cleaner burning fuel that has increasing demand as a marine fuel. We believe that the methanol industry has a positive outlook with growing demand and minimal new capacity additions. Our well-positioned asset portfolio generates meaningful cash flow across a range of methanol prices, which allows us to execute on our capital allocation priorities. We are well-positioned in this period of economic uncertainty with a strong balance sheet, our G3 project fully funded, and coming online next year, which we will expect to add approximately $250 million of EBITDA at $375 methanol price and $4 gas, which will significantly enhance our cash flow generation capability. We hope you'll join us in January when we will update you on our fourth quarter results. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.